Operator: Good morning. Welcome to the Archrock's Fourth Quarter and Full-Year 2024 Conference Call. Your host for today's call is Megan Repine, Vice President of Investor Relations at Archrock. [Operator Instructions] I'll now turn the call over to Ms. Repine. You may begin.
Megan Repine: Thank you, Celine. Hello, everyone, and thanks for joining us on today's call. With me today are Brad Childers, President and Chief Executive Officer of Archrock; and Doug Aaron, Chief Financial Officer of Archrock. Yesterday, Archrock released its financial and operating results for the fourth quarter and full-year 2024, as well as annual guidance for 2025. If you have not received a copy, you can find the information on the company's website at www.archrock.com. During this call, we will make forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act of 1934 based on our current beliefs and expectations as well as assumptions made by and information currently available to Archrock’s management team. Although management believes that the expectations reflected and such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct. Please refer to our latest filings of the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. In addition, our discussion today will reference certain non-GAAP financial measures including adjusted net income, adjusted EBITDA, and adjusted EPS. For reconciliations of these non-GAAP financial measures to our GAP financial results, please see yesterday's press release and our Form 8-K furnished to the SEC. I'll now turn the call over to Brad to discuss Archrock’s fourth quarter and full-year results and to provide an update for our business.
Bradley Childers: Thank you, Megan, and good morning, everyone. Across the board, Archrock delivered excellence in 2024. Excellence in safety, customer service, operational performance, and financial results. We achieved this during one of the busiest compression markets we've ever experienced, and while concurrently completing a transformative acquisition that established Archrock as the leader in electric compression. Before turning the page to 2025, I want to take a moment to thank and congratulate our dedicated employees on an extensive list of 2024 accomplishments, which included records for almost every operational and financial metric. Among the highlights, we reported record adjusted EPS and adjusted EBITDA. Compared to 2023, we increased our adjusted EPS by 69% and adjusted EBITDA by more than 30%. Our teams work tirelessly to meet our customers' robust demands. We increased our contract compression operating fleet by 716,000 horsepower, excluding sales as non-strategic assets. This growth reflects organic investments in new build horsepower as well as the acquisition of TOPS. We maintained an all-time high equipment utilization, ending the year at 96%. As we met this demand, we recorded over 4.5 million man hours and drove 24 million miles. In this exceptionally busy environment and despite a dynamic labor market, we continue to deliver industry-leaning safety performance. Our contract operations and aftermarket services segments delivered record-setting adjusted gross margins due to continued pricing improvement, enhanced efficiency, and a continued focus on managing costs. This step change in our earnings power enabled us to return $124 million in capital to our shareholders through dividends and share buybacks. We also concurrently delivered outstanding dividend coverage of 3.1 times for the full-year 2024, and drove our year-end leverage ratio to an impressive 3.3 times. And we're even more excited about what we are positioned to deliver in 2025. Our investment in high-quality assets, exceptional customer service, and implementation of innovative technology is translating into repeatable results and driving value for our customers and our shareholders. We kick off 2025 in an enviable position, and I expect Archrock to continue to raise the bar for the compression industry. In 2025, we're focused on the following 3 business objectives. First, capturing opportunities presented by this robust market. We believe the increases in natural gas production and demand for compression is part of a structural change requiring significant investment in additional natural gas production infrastructure in which compression and Archrock will play a critical part. Our investment returns remained strong and support our ability to generate stable and growing cash flows today and over time. Second, maximizing the reliability of our service for our customers. In addition to the supportive macro-environment, we're remaining proactive in our focus on innovation, efficiency, and improvement. We believe this is critical to our success and ongoing position as the premier compression provider. We will continue to prioritize the standardization of our field operating model and the enhanced adoption of the technology that we've implemented over the past couple of years. Third, helping answer the call on all businesses to reduce carbon emissions. We are the leader in electric motor drive compression and expertise. The planned expansion of our electric motor drive fleet not only provides environmental benefits, but should also augment customer uptime and Archrock’s operational efficiency. In addition, our new venture theme is advancing opportunities to bring methane emissions detection, measurements, and capture solutions to market. These opportunities are adjacent and complementary to our core contract compression services. As these offerings move out of the pilot phase, we are working to bring these early stage products to market in order to help our customers and the industry identify, quantify, and reduce emissions. Now let me dive deeper into the fantastic market we see for compression. The primary driver of our business is natural gas demand and production, which we see ramping up in 2025 and well into the future. Natural gas remains a reliable, affordable, and cleaner source of energy domestically, and the U.S. continues to be a significant player in the global market for natural gas. First, on 2025. The EIA is forecasting 2% to 3% annual growth in production of both oil and natural gas this year. Natural gas production growth continues to be led by key Archrock oil-producing markets that have associated gas like the Permian. And growth in crude oil production is expected to continue driving demand for compression for gas lift applications. Looking beyond this year, we expect LNG demand, exports to Mexico, power generation, and the emerging opportunity presented by the onshoring of AI data centers to require a significant call on U.S. natural gas production. To support this production, the U.S. will need to make substantial investments to expand the natural gas transportation infrastructure in the U.S. This includes gathering systems, processing plants, pipelines, and compression. Our customers need our equipment, our service, and our people. We intend to support them in what we believe will be a durable and rewarding investment cycle for natural gas production and natural gas infrastructure, including compression. With this continuing strong market for compression to support the transportation of natural gas and the production of oil, we have a substantial contract to backlog for 2025, we're booking units for 2026 delivery, and we believe we will continue to see strong customer demand for new equipment well into next year. Moving to our segments, we posted record results in contract operations during Q4 and 2024. Revenue and profitability outperformed in our pre-acquisition business, and we were able to capture the full impact of the accretive TOPS transaction which came through in our fourth quarter performance. Our fleet remained fully utilized during the quarter with utilization of exiting the quarter at a rate of 96%. Looking at period-end operating horsepower in the fourth quarter compared to the third, we delivered approximately 93,000 in active horsepower growth, excluding approximately 45,000 horsepower in non-core asset sales. Average operating horsepower during the fourth quarter of 4.2 million horsepower was up from 3.8 million in the third quarter and 3.6 million a year ago, reflected the acquisition of the TOPS fleet, which closed in August 2024, as well as organic growth. Monthly revenue for horsepower also moves higher. In 2025, we expect to benefit from a full year's impact of rate increases from 2024, and we also expect additional increments throughout the year. I'm proud to say that we delivered 2024 adjusted gross margin dollars of $657 million, which was up $155 million from 2023. This translated into a 500 basis point increase in our gross margin percentage for the year. Notably, we achieved a quarterly high for 2024 of 70% during the fourth quarter. Going forward, our efforts to standardize, digitize, and automate should position us to continue delivering outstanding profitability. Moving to our aftermarket services segment, despite some seasonal softness during the fourth quarter, full-year 2024 activity stayed strong, while profitability remains substantially higher compared to historical levels as we focus on higher quality and higher marginal work. This level of performance and consistency in results is the best we have seen in a long time. Great leadership and customer service by our AMS team is driving repeat business with key customers and keeps us optimistic about 2025. Shifting to our capital allocation framework for 2025. Our approach continues to be rooted in a returns-based approach that balances our leverage position, investment in high quality opportunities presented by the market, and returns to shareholders. Yesterday, we announced our 2025 capital plan, which includes between $330 and $370 million of growth investment in our fleet, the vast majority of which is already under contract. The IRRs at which we expect to invest new build capital are strong, and we will continue to meet the needs of our customer base through new build investments to support the sustainable growth in U.S. oil and gas production that we see ahead. These 2025 new build investments are focused on large midstream -- and electric motor drive compression units tied to natural gas and oil production in key growth plays like the Permian. The acquisition of TOPS and its book of business is a meaningful contributor to the increases in the absolute level of 2025 growth capital compared to 2024. As we invest in these compelling opportunities, we're committed to maintaining an industry-leading balance sheet and plan to maintain a leverage ratio of between 3 to 3.5 times. This underpins our ability to execute on our plans and opportunistically adapt to market conditions. Finally, as shareholders ourselves, management and the board are focused on maintaining a well-covered dividend that grows along with the profitability increases in our underlying business. Given our confidence in the outlook for compression, as well as Archrock's sector leading financial flexibility, we recently announced a 15% year-over-year increase in our quarterly dividends. Archrock continues to perform at an exceptional level, reflecting consistent operational execution and the successful progression of our strategic initiatives. We carried significant momentum into 2025. In addition to capturing market opportunities, we will be expanding the implementation of technology and processes to improve our operations, to drive efficiency and profitability. I'm confident in our ability to generate stable and growing cash flows today and over time, and I'm confident the best is yet to come. With that, I'd like to turn the call over to Doug for a review of our fourth quarter and full-year performance and to provide additional color on our 2025 guidance.
Doug Aron: Thanks, Brad. Good morning and thanks again to all of you for joining us. Let's look at the summary of our fourth quarter and full-year results and then cover our financial outlook for 2025. Net income for the fourth quarter of 2024 was $60 million. Excluding transaction-related costs and adjusting for the associated tax impact, we have delivered adjusted net income of $62 million or $0.35 per share. We reported adjusted EBITDA of $184 million for the fourth quarter of 2024. Underlying business performance was strong in the fourth quarter as we delivered higher total adjusted gross margin dollars for contract operations on a sequential basis. Results further benefited from $13 million in net asset sale gains related to non-strategic horsepower sales. Included in our quarterly results was an $8 million sequential increase in SG&A expenses. This level of expense was largely related to the increase in stock price throughout the year, which drove higher long-term incentive compensation, as well as other increases in performance-based short-term and long-term incentive compensation expense given the outperformance relative to earlier expectations in 2024. Turning to our business segments, contract operations revenue came in at $286 million in the fourth quarter, up 17% compared to the third quarter. The sizable increase reflects a full quarter's contribution from the TOPS acquisition, organic horsepower growth, and higher pricing. Compared to the third quarter, we grew our adjusted gross margin dollars by $35 million. This resulted in a record adjusted gross margin percentage of 70%. In our AMS segment, we reported fourth quarter 2024 revenue of $40 million, down compared to the third quarter and a year ago. The decline reflects seasonal softness and a delay in service work that we expect to complete in the first half of 2025. Fourth quarter AMS adjusted gross margin percentage was 23% compared to the third quarter of 26% in the prior year period of 22%. We exited the year with total debt of $2.2 billion and a strong available liquidity of nearly $700 million. Our leverage ratio at year end was 3.3 times calculated as year-end 2024 total debt divided by our trailing 12-month EBITDA. This was down compared to 3.5 times in the fourth quarter of 2023 and reflects our strong operating performance and prudent financing of the TOPS acquisition. As Brad mentioned, we are focused on maintaining a consistent leverage ratio of 3 to 3.5 times through cycles. The strong financial flexibility I just described continues to support increased capital returns to our shareholders. We recently declared an increased fourth quarter dividend of $0.19 per share or $0.70 on an annualized basis. This is up approximately 9% from the third quarter dividend level and 15% versus the year ago period. Cash available for dividend for the fourth quarter of 2024 totaled $118 million leading to impressive quarterly dividend coverage on the increased dividend of 3.5 times. Archrock introduced 2025 annual guidance with our earnings release yesterday. All of the customary detail can be found in the materials published last night, and for the purposes of this call, I will keep my comments high level. We announced a 2025 adjusted EBITDA guidance range of $750 million to $790 million. At the midpoint, this represents an increase of $175 million compared to the $595 million in 2024, or nearly 30%. In contract operations, we expect full-year revenue to increase 24% at the midpoint compared to 2024, driven by horsepower growth, continued tight utilization, and higher pricing. We expect 2025 contract operations, adjusted gross margin percentage to be in a range between 68% and 71% for the year, up from 67% in 2024. This reflects not only top line growth but also our high graded fleet and continued efforts to maximize our profitability by leveraging technology and focusing on controlling expenses even during this up cycle. In our AMS business, we forecast full-year revenue of $190 million to $210 million and a continuation of the healthy service activity we experienced in 2024. We also expect to defend the profitability gains we've worked hard to achieve with an expectation for adjusted gross margin percentage between 22% and 24%. Turning to capital, on a full-year basis, we expect total 2025 capital expenditures to be approximately $470 million to $535 million. Of that, we expect growth CapEx to total between $330 million and $370 million to support investment in new build horsepower and repackage CapEx to meet continued customer demand. This compares to growth CapEx of $251 million in 2024. The increase reflects continued strong demand from key customers and premier plays and is supported by multi-year contracts. In addition, the increase also reflects growth CapEx underspend and carry forward from 2024 due to supplier equipment delays, totaling [indiscernible]. We expect growth CapEx to total between $330 million and $370 million to support new build horsepower and repackaged CapEx. This compares to growth CapEx of [indiscernible] We're going to have to come back to you on that. We also anticipate $35 million to $50 million in other CapEx primarily for new vehicles. Total capital expenditures are expected to be primarily funded by operations with the potential for additional support from non-strategic asset sale proceeds as we continue to high grade our fleet. Before we open the line for questions, I want to conclude by emphasizing that on the heels of a very rewarding 2024, we have an exciting outlook ahead of us for 2025 and beyond. Industry fundamentals for oil and gas production and compression demand are strong. We are focused on continuous improvement and maintaining our position at Archrock, the premier compression company in America for our employees, our customers, and our investors. With that, Celine, we are now ready to open the line for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Jim Rollyson with Raymond James. Please go ahead.
Jim Rollyson: Hey, good morning, guys, and solid work again on the quarter and the year. Brad, last quarter I remember talking about the strong margin post you did in compression and kind of asking around the sustainability of it, and I remember you commenting, you think it's sustainable and perhaps expandable through some of the things you're doing internally and that obviously came through this quarter and in your margin guidance. As you look out at the things you're doing and the fact that pricing on average is still rolling higher where can that go? What's the ceiling on margins based on kind of things that are going on internally?
Bradley Childers: Thanks, Jim. As we approach 100%, the curve is definitely going to be less steep. We're really proud of the gains we've made. The team has worked extremely hard to both focus on leveraging the pricing position that we have in the market today given the extremely high utilization at 96%, but also to continue to manage cost and efficiencies through the investments in technology that we've made. So never say never, we're really pleased with this margin performance and the returns that we can drive to our investors. But at this level of profitability, the main thing we're going to focus on now is growing a very profitable business by investing in high-return assets and long-term contracts to support the infrastructure build out going forward. So, we are still going to continue to work on the profitability of this business, but at the level we've achieved now, we think it's a green light to grow the business, support our customers' growth, and provide the infrastructure needed to power America.
Jim Rollyson: Understood. And as a follow-up, maybe around the growth CapEx, maybe you can provide us a few stats kind of how much total horsepower you will add in 2025 with that figure and maybe a little bit of color on the mix between your traditional large horsepower capacity and the gas lift opportunities you have now, especially with the TOPS transaction and even maybe how you're thinking about growth CapEx beyond 2025, just given the step up from year-to-year, which I think Doug was trying to explain a little bit about on -- on some of that was a little bit of catch-up in there too, but just maybe that whole thing, if you could endeavor, please.
Doug Aron: Yeah, we just released guidance on 2025 CapEx yesterday. We're not going to guide 2026 quite yet, but it's a great question. Let me address a couple of the components. With the CapEx budget that we're tabling, we'll deliver over 200,000, we expect to take delivery of over 200,000 horsepower in the year. The number is elevated a bit because of the expansion of our overall base fleet with TOPS as we noted. And in the split, about 80% of the budget is going to go to large horsepower midstream gas drive engines and 20% to 25% of the budget is going to go toward electric motor drive, the vast bulk of which is on gas lift. So that's the rough split between these. But overall, I'd say that this capital budget is just engineered to meet our customers' demands expectations. When you step back and look at what we're focusing on, the amount that the EIA forecast for growth in the business is totally validated by the commitments we're getting from our customers to enter into long-term contracts and bookings. 2025 is booked and now we're moving into 2026, and we're going to maintain our focus on the 2 most profitable segments of the space, and that is large horsepower gas drive and electric motor drive equipment.
Bradley Childers: Jim, I'll just add, now that the secret's out that perhaps we script some of our prepared remarks. The page that was missing here for me was that about $15 million of this year's CapEx is carryover from 2024. So apologies for that.
Jim Rollyson: Yeah, no worries. Thanks, I appreciate that. Thanks, guys.
Operator: Your next question comes from the line of Doug Irwin with Citi. Please go ahead.
Doug Irwin : Hey, thanks for the question. Just trying to start with 2025 guidance, wondering if you could provide a bit more detail on some of the assumptions you're making into the high end, first, the low end of the range here. You already gave some, some detail around the fleet editions, which is helpful, but just specifically kind of curious how much of that range is driven by pricing tailwinds versus maybe the timing of fleet editions throughout the year.
Bradley Childers: So the guidance is number one on the profitability and we'll talk about the horsepower. The guidance throughout the year is definitely going to be influenced on the pricing side, on the gross margin side by our level of success on the one hand, in implementing price increases throughout the year, and on the other side, our ability to continue to manage costs in a very aggressively growing market. So that really -- those drivers are what really book in the profitability that we gave in guidance in the margin range. And we think about the overall guidance for contract operations in particular, some of it is absolutely whether or not we can get – our customers can get all the horsepower started that we're trying to set throughout the year. And so that’s - those are the two main drivers around the contract operations side of the business. On AMS, it's just a notoriously difficult business to forecast, and the guidance range that we gave just reflects that overall inability to really snap the chalk line closer in our forecasting ability on the AMS business. But we're really pleased with the level of activity and profitability that we're achieving right now, which is at record levels in that business as well.
Doug Aron: And I maybe would just add, I know you may not be new to compression, but newer to the Archrock coverage side. It's a pretty tight range, we think, given that it's February and we feel good about that range and as Brad highlighted, there are a few things that can lead us to either end of that spectrum as there are still a solid 10 months left in the year, but also understanding that we try to give you as tight of a range as we feel comfortable at the beginning of the year.
Doug Irwin: Yeah, understood. I appreciate all that detail. As a follow-up, just wondering if you could talk about where you might be seeing demand opportunities outside of the Permian, you talked about a lot of the growing demand drivers around LNG and data center demand in your prepared remarks. Just curious if you're seeing increased opportunities in other basins, or if you're still just largely focused on the Permian here over the next few years?
Bradley Childers: The Permian is consuming 60% to 70% of our new build capital going forward, but we do see growth opportunities, albeit smaller in scale in other plays, and we saw growth, for example, in the fourth quarter of 2024 and incrementally in the Haynesville, in the Bakken, and in the in the Northeast. So much more incremental, but we see it there. But I'm going to highlight the other quality we have in our operation today is incredible stability in some of the plays that are not attracting new capital and growing, but still providing a high level of profitability, including, for example, the Eagle Ford.
Operator: Your next question comes from the line of Jeremy Tonet with JP Morgan. Please go ahead.
Q – Unidentified Analyst: Hey, this is [indiscernible] on for Jeremy. I wanted to start, I think one of your competitors mentioned, some of this elevated customer demand is resulting in higher pricing and opportunities for longer term contracts. So how is the team weighing the month-to-month mix versus opportunities for longer term deals and recognize this there may be an opportunity for both, but just thoughts there.
Bradley Childers: Yes, I'm going to be limited in the comments I'm willing to share on a point that compares contract terms across the industry, but what I would describe is we see the opportunity, as you've seen in our performance to date, to both maintain record utilization, drive very good pricing. When you look at Q4-2023 versus Q4-2024, our revenue for horsepower is up approximately 15%, as well as to extend the terms of our contracts with customers where the midstream application is going to be a long-term application. So we do think that in this robust market where our fleet is more valuable, our services are seriously valuable, utilization is tight, and we're delivering excellent service to our customers, we see the opportunity to maximize on both.
Q – Unidentified Analyst: Got it, that's helpful. And you touched a little bit on other basin plays, so can we just help frame some of the dry gas basin activity and the implications for the business, if there's somewhat of a ramp in some of those other basins, what are the implications for Archrock specifically and how much of that is contemplated in the 2025 guide.
Bradley Childers: Without repeating too much, the amount of activity and capital will deploy into plays other than the Permian is roughly 30%. And so that's an indication of what we think is going to happen in 2025 in plays outside of the Permian. Thinking about the dry gas context longer term however, right now the best indication for us is to look at where the industry is putting their CapEx, and the industry continues to put their CapEx into the Permian by and large, and that hasn't changed. We don't see that changing immediately, but we are encouraged by the dry gas pricing that we're seeing today and some of the reactivation by our customers. From a scale perspective, however, it's not going to compare to the amount of capital and growth that we should expect out of the Permian over 2025 and 2026.
Q – Unidentified Analyst: Got it. Helpful, thanks.
Operator: Your next question comes from the line of Selman Akyol with Stifel. Please go ahead.
Selman Akyol: Thank you for the time. Good morning. Just a couple of quick ones. In terms of the pricing that you're seeing out there, can you make any commentary whether you're seeing a difference between sort of the traditional gas versus the electric is one or the other having more pricing power than the other?
Bradley Childers: I can comment on it. We do not see a difference in pricing between the two as demanding and better, more of a premium than the other. In fact, those opportunities compete from returns perspective fairly well head to head, I think both for our customers and for us. So, we don't really see much of a difference. The nice thing about the business that we operate today to double down on a point is that since we have made the investment in TOPS, we now have an excellent offering on both the gas drive side as well as the electric motor side. We're relatively [indiscernible]. We can grow on both sides, and we see demand as being strong for both electric motor drive as well as gas drive going forward.
Selman Akyol: Got it, thank you for that. And the next one, you guys referenced several times talking about longer contract periods or seeing deploying for longer periods. I'm just curious, when you say that, should we be thinking as in like you won't do a contract for like 3 years or 4 years, everything is going to be sort of 5+ years in duration, are you seeing enough demand out there to support that?
Bradley Childers: You used a few superlatives, including the word everything, so the answer to that is going to be [indiscernible]. Our business model is we are going to meet our customers -- customers wish to be met. And for various reasons, including approval levels, size of projects, and where decisions get made within our customer base, we see contract durations of various terms being a part of the business going forward. It's in our portfolio now as part of the business going forward. So that baseline is what I wanted to say, but with that baseline established, a couple of thoughts. The first is for us to deploy new build capital, especially large units today, we're seeking longer contract terms. And so that's more a part of new build deployment than it is a part of the overall business, especially with existing units in dry gas place for example. The second point I'll make is that with our customer base, we've established twenty-year relationships. We are a cornerstone part of their overall operations and of their capital stack. We do this under master agreements that are in place and just get renewed periodically that govern the entire relationship including the separate work orders that we take down off those contracts for particular services at a location. If that longer term contract, that longer term relationship approach that is the overarching way we do business with our largest customers, that gives us a tremendous amount of stability and predictability in our operations overall. It's not just these, 1, 3, 5+ year work orders.
Selman Akyol: Got it, thank you so much.
Operator: Your next question comes from the line of Steve Ferazani with Sidoti. Please go ahead.
Steve Ferazani: Good morning everyone. Appreciate all the detail on the call. I wanted to ask a couple of questions on some of your guidelines that surprised me. The guide for aftermarket revenue growth, double digits, maintaining that level of margin, coming off of this sort of seasonally slow 4Q. Confidence level on being able to hit that double digit growth, is that there's more, a lot more third party assets out there now that require work? Is that just market share gains? What gets you to that kind of confidence level for 2025 on aftermarket?
Bradley Childers: As I said earlier, the one thing we have to remind is that this business can be notoriously hard to forecast, but we're pretty confident in our forecast for 2025, all things considered, customer activity remains high. Overall utilization in the market for contract operations is really tight, and that indicates that the level of utilization within our customers is also quite high, meaning they have to keep their units running. They need our services. They need our technicians to help them do that, and that is providing for an oversized amount of services activity compared to parts than we've seen in the past, and that is a more profitable segment within our overall aftermarket services segment. So, we're confident in the guidance range that we delivered.
Doug Aron: Yeah, Steve, the only thing I'd add is, I think we talked about it in the prepared remarks. November and December, we absolutely have line of sight to some jobs that just got postponed and we expect to execute in the first 3 or 4 months of this year. And so I think that just with overall demand that Brad described looking good and strong and maintenance upcoming, is where we came with that. And admittedly, still a relatively small part of our overall business, right.
Steve Ferazani: Great, that's helpful. The other one was on maintenance and other CapEx guide for next year. We saw a first full quarter with TOPS and your maintenance CapEx was a little over $20 million. I'm a little bit surprised the maintenance CapEx for next year would be at that higher level. Could that turn out to be a little bit high? And is there anything other than vehicles in that other CapEx number, which is a lot higher off the 2024?
Bradley Childers: I'll speak to the maintenance CapEx and Doug will speak to the other CapEx. On the maintenance CapEx, there are a few drivers of that, the amount of maintenance CapEx that we're spending, but the elevated level that we see next year is required to maintain our equipment, knowing that the biggest driver is which units are coming due for a major maintenance over a calendar period. So when you look back, it's the timing of fleet additions that really dictate the timing of the next overhaul. And so the selections for next year are just on more units and larger units that are going to drive a higher level of expense to maintain the equipment, couple that with the addition of TOPS and the inflation that we've experienced over the last few years, that's providing for the building blocks for that maintenance CapEx. The important point I want to make, however, is that we believe we must maintain and invest in maintaining our units to be very competitive. We've worked really hard to have the youngest fleet we have had in more than a decade in operation today, competing well and delivering a time for our customers, making sure we maintain the units with discipline is a critical success factor for us to continue to do that.
Doug Aron: Yeah and on the other Capex, again, the vast majority is for trucks. There are software licensing and some other things, buildings or maintenance that may creep into that, but that's all very small by comparison.
Steve Ferazani: Great. Thanks so much, Brad, Doug.
Operator: Your next question comes from the line of Josh Jayne with Daniel Energy Partners. Please go ahead.
Josh Jayne: Thanks. Good morning. First question, I'm going to sort of roll into two. Could you update us on lead times for new equipment today? And then the second, I know it's a moving target with new administration, but when we think about new equipment, is there any thought that tariffs could put any pressure on new equipment? And if so, how you guys are thinking about that and planning for that?
Bradley Childers: Lead times remain in what I would call a very normalized market range right now, 42 weeks, 44 weeks is the range for long lead items. That's very close to the historic norm. We do see some risk of that pushing out of bits, but not overly concerned about that at this time. The tariff question is vexing. I think it's very difficult for anybody to answer with any certainty. I'll point out that we and our major vendors, and including the OEMs source most of their material in the U.S., so the supply base will have some time before tariffs could impact it. We need to watch it carefully. We don't have any certainty on this, but there is of course a risk that longer term that steel tariffs could impact the business in the same way that some of the supply chain supply chain challenges did back in the 2020 and 2021 time frame, but we're not expecting that. We're working closely with our key suppliers now to assess that risk, and we don't see it as being material at this time.
Josh Jayne: Okay, thank you. I'll turn it back.
Operator: Your next question comes from the line of Nate Pendleton with Texas Capital. Please go ahead.
Nate Pendleton: Good morning and congrats on the strong quarter. Going back to the CapEx guidance for 2025 for a moment, can you provide any color on the shape of that CapEx spending throughout the year, knowing that there was some carried forward from 2024?
Bradley Childers: Yeah, I mean, I think for the most part it's -- you could think about it as rateable. I think it's -- the first quarter is likely to be the largest, again we've got some of that carryover coming, plus some early on -- that $15 million of carry forward plus strong demand for Q1, but after Q1, I think sort of starts to get rateable for the year. And while I'm on the topic of that CapEx spend and having seen a few of the early notes, I do think it's also important, while it's really hard for us to forecast and we don't give guidance on it, we have over the last few years seen non-strategic asset sales add cash flow to the bottom line for us and help keep us in a free cash flow positive situation. So that would be something that while nothing yet anticipated for the year, that you might think about in doing your modeling.
Nate Pendleton: Got it, great color, thanks. As my follow up, how are you thinking about share repurchases now as part of the capital allocation, given your bullish outlook on the sector and the rising dividend?
Bradley Childers: I think we think about it the same way we always have, which is it's a tool in the toolbox for us, and we have at least historically used that a bit more opportunistically, when we see some weakness in the share price, it will continue to be a tool in the toolbox for us. We would like to have some presence there. Buying stock back if there's an opportunity to do so, I think like the dividend and like our growth CapEx, it's something that the board will discuss with management quarterly.
Nate Pendleton: Thanks for taking my questions.
Bradley Childers: Thank you.
Operator: Your next question comes from the line of Jeremy Tonet with JP Morgan. Please go ahead.
Q – Unidentified Analyst: Hey, thanks for squeezing me back in. Just had one more. I guess thinking about U.S. crude production and recognize things look pretty good in the Permian, but in the scenario where things maybe started to slow, and I know gas demand looks really good and you touched on that in your opening remarks, but just can you talk a little bit about what the oil macro, like a weakening of that would do to Archrock and if there were any slowdown in Permian production maybe beyond 2025 if you can give comments there.
Bradley Childers: With the slowdown in growth of oil production, it would definitely -- we would definitely see a bit of a slowdown in the growth of our business. The nice thing about the business that we operate, however, is that we're very leveraged to production and production does not typically decline. It's just that the growth slows or grows depending upon what's going on in the market. And so with the amount of robust capital that we're deploying, the amount of infrastructure that we see needs to be built, it would reduce potentially in the 2026 time frame, maybe some of the growth that we're seeing, but it would definitely not – we don't think it would have much risk of impacting the business negatively other than slowing the growth overall, just again because of the leverage we have against production for both oil and natural gas.
Operator: There are no more questions. I would like now to turn the call over to Mr. Childers for final remarks.
Bradley Childers: Thank you everyone for participating in our Q4 review call. On almost all accounts, 2024 was a record year for Archrock, and I'm optimistic that 2025 is shaping up to be an even better year as we benefit from the strong dynamics that are driving oil and gas production growth in the U.S. and reap the benefits of our investments to build a first-rate compression business. I look forward to updating you on our progress next quarter. Thank you.
Operator: Ladies and gentlemen that concludes today's call. Thank you all for joining. You may now disconnect.